Operator: Good afternoon. My name is Zane, and I will be your conference operator today. At this time, I would like to welcome everyone to the M/I Homes Second Quarter Conference Call. [Operator Instructions].
 I would now like to turn the call over to Mr. Creek. Please go ahead, sir. 
Phillip Creek: Thank you. Joining me on the call today from Columbus, Ohio, is Bob Schottenstein, our CEO and President; Tom Mason, our EVP; Paul Rosen, President of our Mortgage Company; Ann Marie Hunker, our VP, Corporate Controller; and Kevin Hake, our Senior VP.
 First to address Regulation Fair Disclosure, we encourage you to ask any questions regarding issues that you consider material during this call, because we are prohibited from discussing significant non-public items with you directly. And as to forward-looking statements, I want to remind everyone that the cautionary language about forward-looking statements contained in today’s press release also applies to any comments made during this call.
 Also, be advised that the company undertakes no obligation to update any forward-looking statements made during this call. With that, I will now turn the call over to Bob. 
Robert Schottenstein: Thanks, Phil, and good afternoon, everyone. Thanks for joining us for our second quarter results conference call. We are very pleased to report net income of $3.2 million for the second quarter, as well as net income for the first time of the year. As noted in our release posted this morning, our results represent a major step forward for us as we remain intensely focused on profitability.
 For the past 5 or so years, we and all other home builders have faced significant headwinds, operating in what has generally been referred to as the toughest housing conditions in modern history. Since the beginning of this year, conditions have been improving in nearly all of our markets as more and more consumers are entering the market, taking advantage of the combination of record-low interest rates, housing affordability, and the higher quality and improved efficiency of new home construction.
 These improving conditions are underscored by our results. The year-over-year material improvement in profit that we enjoyed was primarily a result of a 280 basis point increase in our gross margin from last year’s second quarter, and the 19.8% gross margins we achieved in this quarter represented a 170 basis point sequential improvement over 2012’s Q1 margins.
 Additionally, our SG&A ratio improved to 15.6% of revenues from 17.1% in the second quarter of last year. We also closed more homes during the quarter, with deliveries up 6% over last year and revenues up 24%, as our average sale price of $259,000 per house represented a substantial increase from a year ago. In terms of closings, it is also important to note that during the first half of this year nearly 70% of our deliveries came from new communities.
 As we have stated during prior calls, we define a new community as a community that we have opened since January of 2009. Our margins on these new communities continue to be in the 19% to 20% range and represent a very important part of our path to profitability. The nearly 70% of closings coming from new communities during the first 6 months of this year compares to just under 50% of closings coming from new communities during the first half of 2011, and 23% of closings coming from new communities during the first half of 2010.
 We were also very pleased with our sales. Year-over-year, our sales improved by 30%, and our sales for this first 6 months of 2012 are at their highest level since 2007. Our strong sales and improving average sale price have also resulted in our units and backlog and backlog value improving 40% and 50%, respectively, over last year. Currently, our backlog value stands at $320 million, the highest it has been since the third quarter of 2007.
 I would now like to briefly discuss our markets before making a final comment or 2, and then turning things back over to Phil Creek for a more thorough review of our financial results. First, in the Midwest region. The Midwest continues to be our largest region, with 255 closings in the second quarter, representing 41% of our total. However, this ratio has declined notably from 53% of closings in 2009, as we have been strategically expanding our investment and volumes towards the mid-Atlantic and Southern regions for several years now.
 Our deliveries in the Midwest decreased 7% during the second quarter compared with last year, while new contracts in the Midwest were also down for the quarter, down 3%. We ended the quarter with 53 active communities, a 9% decrease from the June quarter last year. Despite this decline, however, our backlog was up 29% from the prior year in terms of dollars.
 The Columbus market has generally been steady and showing some signs of improvement, with permits up over 24% for the first 6 months of this year. In Chicago, our performance continues to be very strong despite a difficult local housing market there, and we continue to grow and expand our presence in Chicago as we are firmly entrenched as 1 of the top 5 builders in that market.
 We are also performing quite well in Indianapolis. Cincinnati continues to be a challenge for us, both with respect to sales and margins, largely as a result of the difficult and weak conditions in that market. The Southern region is comprised of Florida and Texas. We delivered 187 homes in this region for the second quarter, which represented a 21% increase from last year. We had 34 communities in our Southern region at the end of the quarter, which includes 18 in Texas.
 We are very excited about the growth of our operations in both Houston and San Antonio, the 2 Texas markets in which we operate. On April 1, we acquired the operations of a small builder in Houston known as Triumph Homes, and at the time hired a founding principal to run our Houston operation as our area president. That individual has brought strong leadership and a good team to our growing operations in that market.
 We closed the acquisition of our San Antonio operation at the start of the second quarter a year ago. That market also continues to grow for us and we are excited about our future prospects there. In Florida, market conditions and demand for new homes in both Tampa and Orlando divisions have continued to show noticeable signs of improvement. We are having good success in both markets with the opening of new communities in highly desirable locations.
 Our sales in the southern region increased 88% in the second quarter compared with the prior year, and our backlog value at June 30 is nearly double the amount from last year’s second quarter. Finally, the mid-Atlantic region. In that region, our sales were up 40% for the quarter compared with 2011 and our closings were up 12%. Our backlog value was up 52% at quarter’s end from the prior year, partly due to a 10% increase in average sale price.
 We've had pricing power in a number of our mid-Atlantic region divisions, most notably Raleigh and Charlotte. Raleigh is one of our better-performing divisions, and Charlotte also continues to perform quite well for us. The Washington, D.C. market is a healthy housing market overall, but candidly we have experienced a tightening of demand there over the past 6 to 9 months, with increased competitive pressure on margins.
 In our mid-Atlantic region, we ended the quarter with 37 active communities, which represents a 12% increase from last year. In closing, let me just say that our financial condition remains strong and we will continue to utilize that strength to invest in new communities where it makes sense to do so. For 2012, our land expenditures will be quite a bit higher than 2011, positioning us for future growth throughout most of our markets.
 Looking ahead, though we are obviously encouraged and inspired by the improving conditions, we also recognize that macroeconomic uncertainties remain and that employment levels are still not where they need to be. That said, we are optimistic and believe that housing conditions will continue to improve, perhaps in uneven fashion. And we will thus manage accordingly, being prudent with our capital expenditures, watching our expenses closely, and focusing on the core business strategies that have served us well in the past, and that will continue to serve us well in the future.
 And with that I will turn things over to Phil to more thoroughly discuss our financial results. 
Phillip Creek: Thanks Bob. New contracts for the second quarter increased 30% to 826, with a net absorption rate of 2.2 sales per community per month. Our traffic for the quarter increased 24%, our sales were up 9% in April and traffic was up 33%. Our sales were up 36% in May and traffic was up 5%, and our sales were up 52% in June and traffic was up 37%.
 Our active communities increased 8% from 115 last year to 124 this year. To break down by region, it is 53 in the Midwest, 34 in the south and 37 in the mid-Atlantic. During the quarter, we opened 12 new communities, while closing 10. Our current estimate is to end the year with about 10% higher community count than we began this year. We delivered 625 homes in 2012 second quarter, up 6% when compared to last year’s 590 deliveries, and 71% of our second quarter deliveries were from new communities compared to 51% a year ago, and we delivered 67% of our backlog this quarter compared to 79% a year ago.
 Third-party land sales revenue was 4.2 million in 2012 second quarter, resulting in $800,000 of income. In the second quarter, we recorded pre-tax charges of $472,000 for impairments. This compares to $5.4 million in last year’s second quarter. For the 6 months ending June 30, 2012, impairment charges were $567,000 compared to charges of $16.3 million in the first 6 months of 2011.
 Our second quarter SG&A expense increased $3 million when compared to 2011 second-quarter. However, as a percent of revenue, SG&A decreased to 15.6% from 17.1% a year ago. Our G&A expenses for the quarter were $13.8 million, increasing 8% from last year, and our selling expenses for the quarter increased $2.1 million, up 19% from a year ago. These expenses were up primarily as a result of the increase in homes delivered and an increase in our active communities.
 Interest expense for the second quarter was flat with last year, and increased by $570,000 for the first 6 months of this year when compared to the same period of 2011. We are having a pretty bad storm in Columbus. That is the background. Interest incurred was $5.6 million in the second quarter of 2012 compared to 2011 second quarter of $5.5 million. We had $4 million of pre-tax income from operations for the second quarter compared to a $3.5 million operating loss during the second quarter of 2011.
 This improvement was the result of increased deliveries, gross margin improvement, profit from land sales, and a net purchase accounting gain of $800,000 related to our purchase of a small Houston builder in April. We expect the purchase accounting gain to substantially reverse in the next 6 quarters as our business continues to grow in Houston. We generated our 12th consecutive quarter of positive EBITDA, producing $13 million of EBITDA and covering interest 1.5x for the trailing 4 quarters.
 We have $18 million in capitalized interest on our balance sheet compared to $20 million a year ago, which is about 3% of our total assets, and we reported a non-cash after-tax benefit of $1.3 million in the second quarter for a valuation allowance related to our deferred tax assets. At June 30, 2012, our gross deferred tax asset is $141 million, and it is fully reserved.
 Now Paul Rosen will address our mortgage company results. 
Paul Rosen: Thank you, Phil. Our mortgage and title operations pre-tax income increased from $1.4 million in 2011’s second quarter to $1.9 million in the same period of 2012. The main reason for the increase is that loans originated increased 17%, from 448 in 2011 to 522 in 2012. Our second quarter results included increased income attributable to higher loan amounts, higher margins, in addition to our refinance business. We continue to see a shift towards conventional financing. 52% of the loans closed were conventional, and 48% were FHA/VA. This compares to 47% and 53%, respectively, for 2011 same period.
 The loan to value on our first mortgages for the second quarter was 87% in 2012 compared to 88% in 2011’s second quarter. Overall, our average mortgage amount was $228,000 in 2012’s second quarter, a 10% increase compared to $208,000 in 2011’s second quarter. The average borrower credit score on mortgages originated by M/I Financial was $737 in the second quarter of 2012, compared to $738 in 2012’s first quarter.
 Our mortgage operations captured approximately 84% of our business in the second quarter compared to 2011’s 85%. At June 30, 2012, M/I Financial had $46 million outstanding under the credit agreement. The M/I Financial credit agreement expires March 30, 2013, and provides for $70 million in borrowing availability. In the normal course of business, we receive enquiries concerning underwriting matters on specific mortgages our investors have purchased from us. We thoroughly review and respond to each enquiry, and even though we are not required to do so, we routinely engage an independent third party to review the files and information related to the origination of each mortgage.
 Our reserve at June 30, 2012, with respect to these matters, was $2.2 million compared to $2.3 million at December 31, 2011. M/I Financial has not repurchased any loans this year.
 Now, I will turn the call back over to Phil. 
Phillip Creek: Thanks, Paul. As far as the balance sheet, we continue to manage our balance sheet carefully, focusing on investing carefully in new communities, while also managing our capital structure. Total home building inventory at June 30, 2012, was $522 million, an increase of $59 million above last year’s levels, primarily due to higher investment in our backlog.
 Our unsold land investment at June 30, 2012, is $234 million, a 6% decrease compared to $249 million a year ago. Compared to a year ago, raw land and land under development decreased 14% and finished unsold lots increased 1%.
 At June 30, we had $104 million of raw land and land under development and a $129 million of finished unsold lots. Our unsold finished lots totaled 2,600 lots with an average cost of $15,000 per lot, and this $50,000 average lot cost is 18% of our $274,000 backlog average sale price. And the market breakdown of our $234 million of unsold land is $90 million in the Midwest, $42 million in the South, and $102 million in the mid-Atlantic.
 Lots owned and controlled at June 30 totaled 10,600 lots, 61% of which were owned and 39% under contract. We own 6,500 lots, of which 50% are in the Midwest, 21% is in the South, and 29% in the mid-Atlantic. During the 2012 second quarter, we spent $27 million on land and $10 million on land development for a total of $37 million. Year-to-date, we have spent $67 million on land purchases and land development.
 About 8% of our land purchases were in the Midwest, 45% in the South, and 47% in the mid-Atlantic. And as to the type of our 2012 land purchases year-to-date, about 82% were finished lot pickups, 12% have been above [ph] finished lot purchases and 6% were raw land transactions. Our estimate today for 2012 land spend is higher than last year’s $117 million, as we plan to increase our homes delivered in 2012.
 Our sales and market conditions will also impact our spending. At the end of the quarter, we had $68 million invested at specs, 196 specs that were completed and 382 specs under construction. This translates into about 4.7 specs per community, and of the 578 total specs, 210 are in the Midwest, 190 are in the Southern region, and 178 are in the mid-Atlantic. At June 30, 2011, we had 542 specs, with an investment of $58 million.
 We continually focus on cash and liquidity. We ended the quarter with $57 million of cash, which includes $44 million of unrestricted cash. During the quarter, we repaid the $41 million remaining balance of our 2012 senior notes. We also issued an additional $30 million of our 2018 senior notes in May of 2012, giving us $230 million of senior notes outstanding at quarter end.
 At June 30, the company had no borrowings under our $140 million credit facility, which matures December 31, 2014. Our borrowing availability under this facility, net of outstanding letters of credit, was $52 million at quarter end, based on the value of pledged assets. This completes our presentation. We will now open the call for any questions or comments. 
Operator: [Operator Instructions] Our first question comes from Alex Barrón of Housing Research Center. 
Alex Barrón: I guess the main thing that comes to mind is, now that you are profitable, do you think it is reasonable to expect you to get your DTA back in 2013? 
Robert Schottenstein: Phil? 
Phillip Creek: Alex, that is a tough question. There is a lot of rules around that. We are not making any projections in that area. This is the first quarter we have had net income in awhile. So that is something we discuss with our auditors on a quarterly basis. But again, we are not making any projections about that. We realize what is going on in the industry with a couple of builders, but again we are not making any projections on that. 
Alex Barrón: What are some of the more important criteria, Phil, that the auditors are looking at to allow you to do that? 
Robert Schottenstein: A number of quarters of profitability. 
Phillip Creek: They also look at your outlook for the business. They look at the amount of profitability versus what you have deferred -- there is a lot of different factors that go into it, Alex. I assure you, we will do all we can, and to recognize that $141 million asset as soon as we can. I assure you, we keep an eye on that. 
Alex Barrón: Great. I am sure you do. The second thing I wanted to ask you was, with regards to margins, I guess we have seen a number of builders increasing prices in certain markets. We have also heard -- maybe you guys don’t build in the Western markets, but it is more obvious over here, some markets over here, where we have seen cost increases. So, can you comment on to what extent your price increases are just covering any cost increases you are seeing, or are you actually seeing margin improvement, you think, going forward? 
Robert Schottenstein: Both. And I think it depends on the market. It is Bob Schottenstein, Alex. I mentioned in my comments at the beginning that we have -- I highlighted both Raleigh and Charlotte, where, candidly, we have had pricing power in both of those almost across the board, which has more than offset, in some cases, some of the price increases. We have begun to see some pricing power, frankly, in Columbus and Indianapolis, not in every community, and we have also seen a little bit of it in Florida. Our Houston and San Antonio operations -- we are relatively new to each market. As a consequence, since we have opened, we weren’t necessarily encumbered by conditions that would allow us to make significant comparisons.
 But if traffic continues to improve and demand continues to increase, I am certain that we will also see some -- and some of it is needed, frankly, some increase in the material cost for subcontractor expenses. 
Operator: [Operator instructions] Our next question comes from Ivy Zelman of Zelman & Associates. 
Unknown Analyst: It is actually Kevin, on for Ivy. You were talking about your strategic shifts away from the Midwest, but with news coming out about anticipated job growth in eastern Ohio due to the shale gas production, are you seeing any strengths recently in your Ohio markets, or is that just a prospect, or is the prospect of these jobs coming to your area at all causing you to do more capital, or is there -- or kind of relative to your other markets? 
Robert Schottenstein: Really good question. We’ve got very long-term -- we have had a very long-term presence in Columbus and Cincinnati, having been in the Columbus market since our company was started in 1976, and Cincinnati since 1990. And we are well-positioned in both markets. As I indicated earlier, I just got a report this morning on the first 6 months of activity in the Columbus market, where permits were up 24%. It is off of a low base.
 I think that, yes, the economies, the local economies and the statewide economy is improving, and I don’t think that is going to have a material impact, though, on our strategy. When we say we are shifting away, it is not that we are exiting, it is that we are shifting away. We’re trying to take advantage of what we frankly think is more upside and more growth, not just in Texas, but in the Carolinas, and that is nothing new. We have been talking about that for the last 4 years.
 It just continues to be more and more seen now that we are starting to see demand come back a little bit, and we also have a lot of opportunity for growth, frankly, and it is part of the Midwest, but in Chicago and Indianapolis. 
Unknown Analyst: And I guess, just part of the acquisition in Houston, can you kind of quantify how much that, that contributed to this quarter and I guess prospects on that going forward, and kind of how do you see the Houston market continuing to grow, I guess? 
Phillip Creek: Bob talked about the subdivision count in Texas. We're just getting started in Houston. When we did the acquisition, it brought about 5 communities to us in Houston, in addition to the 5 we have. So it is not that significant at that time. Do we expect it to grow in the coming quarters? The answer is yes. It is our goal to be a meaningful player, to be a leading builder in those markets, but it is not anything significant right now, nor will it be in the near future. 
Operator: Our next question comes from Alex Barrón of Housing Research Center. 
Alex Barrón: [indiscernible] I thought I heard you say you wanted to grow your community count to 10% this year, but I’m not sure if I missed. Did you comment anything about 2013 or what you think is going to happen there? 
Robert Schottenstein: I don’t have any projections out there, Alex, but assuming that business continues to get better, we expect to get more than our fair share. But right now our projection is 10% by the end of this year. 
Alex Barrón: Okay, and as far as capital transactions, I know you guys just refinanced the debt, but would you be open to maybe a raise in equity if the price is right? 
Kevin Hake: Yes, Alex. This is Kevin. We don’t have any specific plans. We are always looking at capital markets opportunities. We feel pretty comfortable with where our leverage is right now, and as Bob said, we have plans to spend more on land acquisition this year. It helps our overall leverage by having some profitability so that we are earning part of our equity, and so we just look forward at our own estimates of our growth, and right now we feel pretty comfortable with the amount of our leverage, and -- but we do always consider equity possibilities. It is not just a matter of price. It is a matter of what our needs are and with what level of leverage we are comfortable with. No current plans one way or the other. 
Alex Barrón: Yes. I wasn’t meaning so much from the leverage. I was thinking more -- because as the market continues to expand, I was thinking maybe at some point you might need some extra capital to take advantage of opportunities? 
Phillip Creek: Well, I think you have to look, Alex, at a couple of things. I mean, as we talked about, we do own 2600 finished lots. Behind that, we have about another 5,000 lots, either raw or under development. We have $50 million of cash. We have $140 million bank line unused. So we feel like we have a fair amount of powder. We feel like we are in a pretty good land position right now. Again, but that is something we always look at, as Kevin says, we think we are in pretty good shape. 
Operator: Our next question comes from Joel Locker of FBN Securities. 
Joel Locker: And just was curious about the orders. In June, you saw much more strength than you did -- obviously, April was a little weak and then May was in the middle and June really came on. Was there any reason you can point to for June being -- was it an easier comp or was -- just any kind of promotions or anything like that? 
Robert Schottenstein: A couple of things. Our second quarter sales of 826 is actually the best second quarter we have had since 2005. And as you look at the 90 day period, the sales were fairly evenly balanced, and even within our markets the mix was good and the absorption per community was good as we experienced steady quality traffic throughout most of our communities.
 I think -- I’m not sure I can point to much more than that. We think we have got a great trained sales staff. We think we have got very solid locations, good product, energy-efficient product. We have got good competition amongst other builders in the markets as well. But in most of our markets, our market share is growing, and we’re very encouraged by that. We have been able to say that almost throughout this downturn. 
Joel Locker: Got it. And how does July feel on a -- or front [ph] versus, say, a June in this chain [ph]? 
Robert Schottenstein: Well, we have never -- we’re not going to comment and we haven’t been for some time on the current month in these... 
Joel Locker: And what about prices? How much did you raise them, say, for on your average order from the second quarter versus the first quarter? Just, like, if you took -- even the ones you didn’t raise, but just... 
Phillip Creek: That is a really hard question, Joel. I mean, it depends on the location and product and everything else. If you look at the average sale price in backlog, we kind of bottomed out at the middle of ’11 at $252,000, our average sale price in backlog. Every quarter since then, it has moved up a couple of thousand, and now it is at $274,000. So I think the short answer is, it has just had a gradual improvement in the market, some pricing power, but we are also trying to continue to work through legacy assets. So I think it is kind of just all those things. Just things everywhere getting a little bit better. 
Joel Locker: Right. And your gross margin, if you exclude the financial service segment, I guess it went up around 150 or 160 basis points, which is a nice jump. Was there any -- I mean, is that sustainable, or do you expect a further expansion, if it is 18.8% or so excluding the financial service and any impairment? 
Phillip Creek: Hard to say. I think that the real key to the growth in margins for us, in addition to slowly but nonetheless noticeable improvement in demand, has been the mix of closings coming from what we call new communities. As I said during the first half of this year, nearly 70% of our closings came from the new communities and the margin in the new communities are running 19% to 20%, and often closer to 20% than 19%, whereas the legacy stuff is just that, and it is around the 15% range.
 So, in 2010 we had about 23% of our first half closings coming from new communities, increasing to nearly 50% a year ago, increasing to 70% in this most recent first half. And I think that as much as anything that has been the real key. Obviously, we underwrite all those new communities and invested our assets intending and expecting them to produce those kinds of -- that kind of accretive result, and we are pleased to report that it appears to be doing so. 
Joel Locker: Right. But if the mix doesn’t get much toward -- maybe levels out around 75% new, or 80%, then gross margins may flatten out unless you get the price increases. 
Phillip Creek: I think that is a fair statement. 
Robert Schottenstein: Yes, we do still have a few legacy issues in the Midwest. So that does tend to drag the overall margins down. As you said, our mortgage company had a very, very strong quarter. We also talked about -- we had the land sale profit of $800,000. We also had $800,000 from purchase accounting. So we did have a couple of things helping us a little bit, but obviously we are focused on that margin line very much. 
Joel Locker: All right. And anything else you can do on SG&A further? I mean, it was a little better than I expected, but is there... 
Phillip Creek: Joel, we have added a few people due to getting more volume in Texas. We have also added a few people due to increased volume. So we’re trying to spend that money carefully, also growing community count 10% is also taking a few dollars. So, we know the dollars are going up. We are working on getting as much leverage as we can. We are trying to get more volume in the cities we are in, job one. So we’re working on all those things. The short answer is no, there is nothing dramatic in that area that is going to help that line. 
Joel Locker: All right. And just the last question on a community count. How many do you expect to open in the third quarter and in the fourth quarter? 
Robert Schottenstein: You are getting specific on questions there, Joel. At the third quarter -- in the second quarter, we opened about 3 more than we closed. Our best guess right now is we would probably be opening in the 10 to 15 range in the third quarter, and then also open 10 to 15 range in the fourth quarter. And then as far as closings, we would probably be closing again, depending on sales pace, 7 to 10 in the third and fourth quarter. And, again, that would have the end of year about 10% higher than going into this year with 122. So our thought process is in that 135 range is kind of our best guess, and that is our best guess of where we will be. 
Operator: Our next question comes from Ivy Zelman of Zelman & Associates. 
Unknown Analyst: Just one more follow-up. Can you just talk about a little bit about what you are seeing on the land side, maybe specific markets that you are finding it harder to purchase finished lot deals, or on the other side of the coin, maybe easier than you were expecting, just in terms of availability? 
Robert Schottenstein: I don’t know if it is easier than expected anywhere. I think that this is a big challenge going forward for all builders as we -- assuming that we continue to experience improving conditions, the ability to tie up the good pieces is going to be something that is -- sometimes, it will be a race to the finish line. But look, we are planning on spending considerably more this year on land acquisition than last year, and we are planning on that based on the deals that we know about right now today, because we have seen deals, frankly, fairly evenly spread throughout our markets that give us very legitimate reason to believe that we can hit our minimum hurdle rates.
 Ideally, no surprise, we would like all of them to be finished lot deals with little deposit and little risk. But that is increasingly not the case. Accordingly, the underwriting is a little bit more severe when you take more risk. We have different hurdle rates depending upon whether it is a finished lot deal or a developed or combination developed finished lot deal. We try to balance risk with return. I don’t know if that answers your question.
 We feel very good about, as I said in my closing comments, that utilizing our financial condition to take advantage of the fact that there have been opportunities for us to acquire new locations that will allow us to continue to grow in our markets. 
Operator: At this time, there are no further questions. 
Phillip Creek: Thank you very much for joining us. We look forward to talking to you next quarter. 
Operator: Thank you. This concludes today’s conference call. You may now disconnect.